Operator: Good morning, ladies and gentlemen, and welcome to the Avient Corporation's webcast to discuss the company's third quarter 2025 results. My name is Dede, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Joe Di Salvo, Vice President, Treasurer and Investor Relations. Please proceed.
Giuseppe Di Salvo: Thank you, and good morning, everyone joining us on the call today. Before we begin, we'd like to remind you that statements made during this webcast may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will have current expectations or forecasts of future events and are not guarantees of future performance. They're based on management's expectation and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statements. We encourage you to review our most recent reports, including our Form 10-Q or any applicable amendments for a complete discussion of these factors or other risks that may affect our future results. During the discussion today, the company reviews both GAAP and non-GAAP financial measures. Please refer to the presentation posted on the Investor Relations section of the Avient website, where the company describes the non-GAAP measures and provides a reconciliation to their most directly comparable GAAP financial measures. A replay of this call will be available on our website. Information to access the replay is provided in today's press release, which is also available at avient.com in the Investor Relations section. Joining me today is our Chairman and Chief Executive Officer, Dr. Ashish Khandpur; and Senior Vice President and Chief Financial Officer, Jamie Beggs. I will now hand the call over to Ashish to begin.
Ashish Khandpur: Thank you, Joe, and good morning, everyone. I am pleased to report third quarter adjusted EPS of $0.70, in line with our guidance despite slightly weaker-than-anticipated sales. The subdued market demand in several of our key markets, affected revenue growth compared against our strongest quarter in 2024, where we had realized 8.5% organic revenue growth in the third quarter last year. Our focus on increased productivity, cost containment and portfolio prioritization helped expand adjusted EBITDA margin 60 basis points to 16.5%. This offset the slightly lower sales compared to the prior year third quarter to still grow adjusted earnings year-over-year. Strong operational performance resulted in adjusted EPS growth of 7.7% as reported and 4.5%, excluding the impact of foreign currency translation. On a year-to-date basis, through the third quarter, our team's ability to execute in a tough and uncertain macro environment has resulted in 4.1% adjusted EPS growth on flat year-over-year sales. This earnings growth is attributable to favorable mix from consistent innovation-driven growth in health care and defense portfolios as well as our ongoing productivity initiatives which has year-to-date enable 40 basis points of adjusted EBITDA margin expansion compared to last year. In our last 2 earnings calls, we have referenced our operational playbook for the current low demand, high uncertainty environment, which is primarily to focus on our customers and what we can influence in particular, efficiency gains. As a result, we are on track to realize approximately $40 million of productivity benefits in 2025 versus last year. These benefits come from a combination of initiatives in sourcing, Lean Six Sigma, operations productivity, plant footprint optimization and tight SG&A and discretionary spending control. Our team's execution has more than offset inflation, primarily from wages as well as our investments in growth vectors that are critical for advancing our strategy. Additionally, we have been able to convert our profits into robust generation of cash, which is helping us to strengthen our balance sheet. General market conditions remain largely unchanged from August when we reported our second quarter results. This includes an uncertain global macro environment where customers in most markets and regions are waiting for clarity on trade policies, Geopolitics is fast reshaping global businesses and supply chains and the war in Europe continues. While the general market conditions are consistent with what we saw in the second quarter, there have been changes in certain end markets that affect customer demand. We want to provide some context around how things are playing out in our markets especially versus our previous expectations. Consumer and Packaging, which are our 2 largest markets remain subdued in the third quarter. Packaging demand was lower than anticipated, especially in EMEA, our largest packaging market. Consumer sales were down high single digits in the third quarter. Notably, the weakness in consumer demand was broad-based globally. Following a weak Q2, we had expected continued negative growth in Q3, but the customer demand was weaker than what we had anticipated in Asia where our consumer sales ended being down double digits for the quarter. Having said that, we did see some encouraging trends for our global consumer business in September. And while it is too early to call if it is inflecting to growth, we do expect year-over-year consumer sales performance to be better in the fourth quarter. Industrial and Building & Constructions have been in negative demand territory and we don't see signs of a significant recovery in the fourth quarter. Energy, while a small percentage of the total company sales was down much more than anticipated in Q3. The U.S. government's pause of Infrastructure Investment and Jobs Act funding to utilities in early 2025 has not fully resumed impacting both grid modernization and green energy projects. Moreover, additional and changing tariffs, higher interest rates as well as shortage of long lead time critical components for grid infrastructure is causing project delays and/or changes. Our customers remain hopeful that this is a temporary situation and believe that the inventory levels at both utilities and distributors are once again in a healthy state. However, as a matter of caution, we have now modeled continued weak Q4 demand for our energy markets. We experienced some growth in transportation, driven by incremental light vehicle production and an increase in demand for our Dyneema materials used in marine applications. In the fourth quarter, we expect flat to modest growth for this end market. As expected, defense, health care and telecommunications remained resilient in Q3 with high single-digit growth in all 3 markets. We expect these markets to continue to do well in Q4. Overall, for Q4, we expect growth in our Color, Additives and Inks business to be under pressure due to the subdued market demand for packaging and consumer applications while our Specialty Engineered Materials business is expected to grow, supported by customer demand and growth of some of our recently launched innovative products in health care and defense markets. Though we remain cautiously optimistic that end market demand will improve in the near future, there continue to be many unknowns and uncertainties surrounding our macro. Accordingly, we are proactively working on an action plan in the event that the slow or no growth period ensues for an extended period. This includes additional productivity actions and organizational complexity reduction so we can continue to grow our margins and earnings. I'll now hand the call to Jamie to cover our third quarter segment and regional performance as well as provide some color on our updated guidance.
Jamie Beggs: Thank you, Ashish, and good morning, everyone. I'll begin with the performance of our Color, Additives and Inks segment. Continued strength in health care was not enough to offset demand conditions in consumer, packaging and building and construction which led to a 4% decline in organic sales for the segment in the third quarter. Despite lower top line results, the segment expanded EBITDA margins 20 basis points through favorable mix and cost improvement initiatives. This included ongoing plant footprint optimization and streamlining the segment's organizational structure, which has not only reduced costs, but is also allowing us to serve our customers more efficiently. Organic sales for the Specialty Engineered Materials segment were down 1%, excluding FX, as strong growth in defense and health care largely offset lower sales in consumer, energy and industrial end markets. Health care continues to deliver growing high single digits due to our innovative and specified materials for use in medical devices, equipment and supplies. Defense also grew high single digits, supported by strong demand in the U.S. and Europe, underpinned by increased law enforcement and military spending. We are also benefiting from new product innovations in our Dyneema line which provides next-level performance through our recently launched next-generation materials. Favorable mix and productivity initiatives also resulted in margin expansion in SEM, which was up 50 basis points compared to prior year. This margin expansion led to modest EBITDA growth despite slightly lower sales on a constant currency basis. Looking at regional performance. U.S., Canada and EMEA sales decreased 5% and 3%, respectively, versus the prior year quarter. Trade policy uncertainty, inflation and higher interest rates, particularly in the U.S. have weighed on Consumer, Packaging, Industrial, Energy and Building and Construction markets, which account for approximately 65% of sales in these regions. In Asia, sales were down 1%, primarily due to consumer. Nearly offsetting this was growth in packaging, healthcare and telecommunications. The enhanced focus on high-performance computing and semiconductor manufacturing in Asia is creating new opportunities for our materials and we continue to see robust growth in this area, supported by secular trends. And lastly, Latin America grew revenue 1%. Though a modest increase, this marks the seventh consecutive quarter of growth and lastly comparison where the region grew 27% in the third quarter last year. Credit for the region's consistent performance goes out to our local team who is winning new business and gaining share. Turning to our guidance for the remainder of the year. We are narrowing our range to account for the third quarter results, the end market dynamics that Ashish shared earlier and current customer order patterns. For the fourth quarter, we expect year-over-year sales performance to be slightly better than what we experienced in the third quarter. Strong growth in defense, health care and telecommunications expected to continue while sales in other key end markets will be flat to slightly down versus the prior year quarter. We are also acknowledging that there is added uncertainty related to the U.S. federal government shutdown and how that may affect demand in the U.S. Overall, we expect organic sales will likely be flat to down low single digits in the fourth quarter, but still with the potential for low single-digit growth depending on the timing of certain defense orders as well as the restart of certain energy projects in the U.S. Accordingly, our updated adjusted EBITDA range for the year is now $540 million to $550 million. Lower interest expense from paying down debt and a favorable tax benefit in the third quarter are offsetting the slightly lower adjusted EBITDA range, allowing us to maintain our previous adjusted EPS guidance range of $2.77 to $2.87. For the full year, adjusted EPS growth will be driven by higher margins from favorable mix and productivity initiatives as well as lower interest expense. We expect to reduce debt in total by $150 million this year, having already repaid $100 million year-to-date. We have made no changes to our expected capital expenditures forecast for the year of approximately $110 million, and we anticipate free cash flow will range from $190 million to $210 million, also unchanged. I'll now turn the call back over to Ashish for some closing comments.
Ashish Khandpur: Thank you, Jamie. Thus far, 2025 has been characterized by trade wars, shifting supply chains, labor market challenges, weak consumer sentiment and most recently, a U.S. government shutdown, all of which have negatively impacted demand. But amidst all of that, our teams have navigated the challenging operating environment and delivered positive earnings growth. I would like to thank the Avient team for their tireless and focused efforts on serving our customers and executing with discipline. With that, we would be happy to take any of your questions. Operator, please begin the Q&A session.
Operator: [Operator Instructions] And our first question comes from Michael Sison of Wells Fargo.
Michael Sison: Nice quarter. I know it's a little bit early, but when you think about 2026, Ashish and most companies that have reported have suggested sort of similar difficult slow conditions heading into the first half. What do you think your growth algorithm for next year on just -- could be if this environment persists?
Ashish Khandpur: Yes. Thanks, Mike, for the question. Obviously, the uncertainty is continuing and not much clarity has happened. So although we are hoping for the best, we are also preparing for Plan B, which is in case things don't turn around. And we'll provide more details on our guidance in the next fall. But just from where we are sitting and based on the business segment, I think if the market conditions persist like this then, the consumer business, the CAI business not consumer, the CAI business will probably continue to face headwinds, while we have good growth coming from SEM based on some new product launches and some innovation and growth vectors kick in there. So overall, it's going to be a mixed bag between the 2 segments. But I think we should be still able to grow in an environment where assuming that those things don't change much. Of course, as we telecasted in the presentation, if things get worse because of the enhanced shutdown or consumer sentiment deteriorates further then we have additional productivity and plans in place that we will enact as things go in this quarter and early first quarter of next year.
Michael Sison: Got it. And then as a follow-up, it sounds like your innovation, new product momentum is gaining some traction. You might see some growth there in the fourth quarter in Consumer, which is great. How much momentum do you have heading into 2026? Is there sort of a base level of growth you're going to see from those initiatives next year?
Ashish Khandpur: Yes. I mean I just want to say that growth vectors in our strategy, we highlighted the growth vectors are our primary sources of growth creation. And that's exactly what we are seeing right now. I mean, actually, if you look at our portfolio, growth vectors have grown much, much higher than the GDP and actually creating most of the growth for the company. The rest of the portfolio without the growth vectors is actually in the negative territory. So they are carrying a lot of lifting right now with respect to growth, and we expect that to continue next year, especially as more new products come to innovation next year in the market. But there are smaller -- the growth vectors are smaller component of the total portfolio, less than 20%. And so the rest of the 80% of the portfolio needs to get some tailwinds from the market for us to grow consistently. But I think we are really making a lot of progress in that area. And I have to remind this audience that the growth vectors are both in our core as well as in new platforms of scale that we are building around secular trends. So as you are seeing this year, our health care and defense, those are what are growth vectors that we had highlighted and those are growing very well. And then we might highlight some more growth vectors going into the new year, especially around some of the trends that you're seeing around artificial intelligence and data center inputs that are happening. And as a material player, we want to play in that market in a better way. And we have been doing that in the background, but we have not telecasted that. So we'll provide more feedback on that as well in the future.
Operator: And our next question comes from Frank Mitsch of Fermium Research.
Frank Mitsch: Nice result in a difficult period. Just curious, on Slide 8, the geographic sales changes, the EMEA depiction had always been a tool up field and windmills. And now you're showing a German castle. Are you signaling a new initiative to expand into Germany with that change? Is that how we should be assessing that?
Ashish Khandpur: We just thought that we would be bored of the windmills and -- but no, Frank, it's just a choice of a picture. So nothing related to that, don't read too much into that.
Frank Mitsch: Okay. The discussion of the government shutdown, are you seeing any changes with respect to defense order patterns, you did indicate something with the Inflation Reduction Act or what have you. But what are you seeing on the defense side of things potentially being impacted by the government shutdown?
Ashish Khandpur: Not a lot right now, Frank. I mean, our orders for defense remain robust. And actually, we expect demand to continue both in United States as well as in Europe because of the things that have been happening in the world. So right now, we don't expect much issue from the U.S. government shutdown. However, if the shutdown continues for a very long time, maybe into Q1 or something then at some point in time, our products have to go through inspections and clearances by certain third-party and government agencies. And at that point, it would start affecting the outflow from us. We don't expect change in orders or the demand part, but these products cannot be sometimes delivered until they are cleared by these agencies. So if the agencies are closed, that might create some issues. But for now, in Q4, we don't expect any of that to happen.
Frank Mitsch: Okay. Great. I don't think that, that will happen either. I don't think it's going to spend that long. And then lastly, the range that you offered on EPS, you gave us a point range for 3Q and then we have a $0.10 range on 4Q. Can you speak to what gets you to the low end and what gets you to the high end of that EPS range?
Jamie Beggs: Yes. So Frank, I'll take that one. So from a high range perspective, part of this goes into the lumpiness that we sometimes see in defense. And to the high end of that, if we're able to close on some of those orders and get them into Q4, that could definitely be a catalyst to get on the higher end. Ashish also mentioned these energy projects, which we have seen some delays. We've been in close contact with several of our key partners and a customer perspective. And they're optimistic that we may be able to see some of those projects come into the Q4. We're not counting on it at this juncture just because of the slowdown in the U.S. and there's a little bit of volatility there. But there are 2 items that I think could push us on the upper end of that range. From a downside perspective, if we see continued weakness in consumer and packaging which are our 2 largest markets. There is some uncertainty there. We do have some favorable comparisons in Q4 versus Q3. So we don't anticipate there to be any significant deterioration. If anything, we think things will get better on a year-over-year comparison. But obviously, we're living in a very uncertain macro environment. So we want to be a little bit cautious and that's why the range for Q4 is represented as such in what we provided out in the earnings release.
Operator: And our next question comes from Aleksey Yefremov of KeyBanc Capital Markets.
Aleksey Yefremov: I wanted to ask you about the level of inventories at your customers. Do you have any insight into whether they're still reducing inventories or they're happy with their level of inventories? Or perhaps if that level is too high or too low?
Ashish Khandpur: Yes. So maybe I'll break it down for the 2 different kinds of business segments. For the Color business, our customers have -- they have started ordering smaller lots and more frequently because we have been -- we can serve them on a short cycle time period. So there is no need for them in this whole dynamic emerge during the COVID times. And so I think that pattern continues. Our customers count on us for delivering on a short notice and don't carry much inventory. And then we are in the same situation. So we don't have much visibility with this Color customers for typically for 2 to 3 weeks -- beyond 2 to 3 weeks. And from what we can say there is not any inventory sitting in the channel or with the customers. With respect to the SEM business, that's mostly a spec-in business although we do have a bit of a business that goes through distribution. And really, there is not an issue of inventory there. The only inventory that we were worried about is because of this energy demand that we signal that the energy projects were put on pause and for a while, the customers who are carrying because these are big projects and our customers have started building inventory. And when the projects were paused then the inventory destocking took some time. Based on our current knowledge and talks with our customers, they are getting back to normal levels of inventory both at their own level, distributor level as well as the utility level. But -- and we have started seeing some orders trickle in from energy side, but we are not counting on them to come in Q4. Our expectation is most of that action will take place in Q1, the orders to come back to us. And so overall, I would say inventory is pretty healthy now in SEM side as well.
Aleksey Yefremov: And I've seen some headlines about just consumer companies noting a little bit of an uptick of consumer demand in China. I know you have some business that's China for China. What are you seeing on the ground there?
Ashish Khandpur: Yes. I think what we are seeing is that we are seeing more demand coming from local China OEMs versus for export. If you think about our consumer businesses in China, the consumer discretionary is the bigger part of it and most of it gets exported out, which is in textiles and apparel materials and also small appliances are the other part of it. But I think most of it is apparel, about 40% or so is apparel. And that was down double digits in Q3 for us there. So really, China was not exporting much outside. And a lot of that material goes to Europe, but some to United States as well. So China was not exporting a whole lot in Q3 in terms of clothing and textile-related stuff. But we do continue to win share on the flip side with the local OEMs. And so I think to answer your question in a succinct way, we are seeing demand from the local OEMs, but not from the global OEMs who are playing in China.
Operator: And our next question comes from Graham Panjabi of Baird.
Joshua S. Vesely: This is actually Josh Vesely on for Ghansham. Maybe the first one just on Slide 4. You mentioned consumer showing some signs of recovery in September. Can you just help us reconcile those comments relative what you're hearing in the news and what you're seeing throughout reports through 3Q, just about sequentially weaker consumer. What's specifically driving that for you guys? And is that any particular region that you're seeing that? Or is it more broad-based?
Ashish Khandpur: Yes. So maybe I'll paint the picture this way. Let me start by saying that consumer last year so Q3 of 2024, we were up 11%. So the comps were extremely tough for us as we were walking into this quarter for consumer. And so when we go through -- and then when I come to this year, and I go month by month. So in July, for example, our consumer was down minus 14% year-over-year. In August, it was down minus 8%. And in September, it was plus 1%. So we could see the sequentially our results getting better compared to last year. And it's largely coming from 2 things. One was comps because the comps were getting better versus every month. And then the second part was that we did see an uptick in our consumer staples business. Consumer for us is 2/3 discretionary and 1/3 staples. And we did start seeing uptick on the staple side, especially on the SEM part of the business. As we go into Q4, comps get really better. So consumer goals went from plus 11% to plus 4% in 2024. So Q4 was 4% growth. So that's a much better comp than against 11%. But on top of that, we are seeing -- there is some -- even in the discretionary side of business, especially in SEM where we are going to -- where we had a bad year because of another specific reason and that this year, it's just getting normal demand from that perspective. So we do have a little bit of a tailwind from a certain business on the SEM side, which is causing consumers to get split positive beyond the comps getting easier. So that's the commentary I can give. And as I telecasted, it's hard to say whether it's true demand or it's just a comps thing because the comps were so dramatic. But we do believe that some of the consumer part, especially the staples is coming back and some of the parts of discretionary is coming back as well for us.
Joshua S. Vesely: Okay. Great. That's super helpful. And then maybe a question for Jamie on capital allocation. You talked about paying down $150 million in debt this year. It looks like your balance sheet is roughly 2.8x net debt-to-EBITDA current. Just given the year-to-date share performance, is there any preference or opinion from you guys just in terms of being a little aggressive in the near term just when it comes to share repurchases. Any thoughts there would be great.
Jamie Beggs: Yes, Josh, that's a great question. I will tell you, if our leverage is in a better spot, closer to 2.5x, we'd be buying back shares. We do believe our multiple is at a historic low based on the quality of the portfolio changes that we made today. But we also be cautious that this is an uncertain macro environment and a lot of our major investors really want to ensure that our balance sheet is strengthened as we continue to see this macro uncertainty. We do expect to get to 2.5x probably back half of 2026 at this juncture. And once you see that, if our stock price still hasn't recovered from the standpoint, I imagine we'll have some conversations on what's the best capital allocation to make sure that we're returning value back to our shareholders.
Operator: And our next question comes from Vincent Andrews of Morgan Stanley.
Vincent Andrews: Just wondering if you could talk a little bit more on the packaging side and just help us understand sort of what the rate of change is in the various end markets within there. And if you're seeing any signs of life in certain areas versus incremental challenges and others?
Ashish Khandpur: Yes. So Vincent, let me just start by saying that year-to-date packaging is plus 1% for us. So it's low single digits positive. And now having said that, let me just tell you what happened in Q3 and so on and so forth going into Q4, what we are seeing. So we saw a negative high single-digit growth so degrowth of packaging in both United States and specifically, EMEA, which is our biggest packaging market. But also packaging was negative in Latin America. So the food and beverage industry there utilizes quite a bit of our packaging and that was negative as well. So 3 out of the 4 geographies were negative on packaging. The only geography that was positive was in Asia and part of that was that our team is getting some business there on local food and beverage, but also part of it is our packaging systems that go into semiconductor and wafer packaging and all that. So it's not traditional consumer packaging, so to say. So I think overall speaking, that we saw a positive growth in positive high single-digit growth in Asia, but negative everywhere else. When I go into Q4, I think the big piece is that we are seeing some business gains on packaging in the United States. At least EMEA will continue to be a little bit weak for us. But Latin America, because it's summertime there will be in Q4, we generally have a seasonality of positive food and beverage there. And so that's what's baked into our numbers, and we would -- we expect to grow positive on Latin America side.
Vincent Andrews: No, go ahead, Ashish -- sorry.
Ashish Khandpur: I was going to say in Asia, we continue to see positive packaging driven by the semiconductor trend.
Vincent Andrews: Okay. And maybe, Jamie, just remind us what's the minimum level of cash you need to hold versus where you are now?
Jamie Beggs: That range is around $350 million. I think we ended the quarter, Joe, at about $450 million. Yes. And maybe as a reminder, we do generate quite a bit of cash in the fourth quarter mainly as a lot of our cash uses happened in the first half of the year. And then with working capital coming down as sales come back from seasonality, we do expect to have quite a bit of cash generation. So going into the fourth quarter, as we kind of telecasted in our comments earlier is that we do expect to pay down another $50 million within the quarter, and that's going to be reflected once we get to the year-end cash balances.
Operator: And our next question comes from Michael Harrison of Seaport Research Partners.
Michael Harrison: Was hoping that we could address a couple of questions that I had in packaging. First of all, is there any sense that you might be losing some market share either to competitors or to paper or other types of packaging, why don't you go ahead on that?
Ashish Khandpur: Yes. We don't think so. Our teams doesn't think so. And as I said, overall, when we compare ourselves to some of our competitors seems like we are printing better numbers. Also, we have pretty good insights with our converters and suppliers on the other side and these suppliers supply to most of our competition as well. So we believe that this is real slowdown. And both consumer and packaging, if you look so broad-based down across the globe, it's really a reflection of all the uncertainty that the globe is facing and the consumer sentiment across the globe is bad. And that's what it reflects, Mike. I don't think it's a matter of losing share. I think if anything, we might be gaining share in certain places.
Michael Harrison: All right. That's very helpful. And then you had previously been optimistic or at least expected that you could see some growth in packaging as a result of more recycled content starting to drive greater consumption of Color and Additives. I was wondering if you could give an update on what you're seeing with that trend? Are your big CPG customers still committed to increasing the amount of recycled content? Or have they stepped back from some of those goals?
Ashish Khandpur: So Mike, I think that phenomena still very much exists both in Europe and Latin America. We are seeing our customers to continue on that front. I think in the United States, it has taken a little bit of a backseat, but it was never a big piece here. But I think that trend continues. And we are seeing supply chains moving from Europe to Latin America. Originally, some of that recycled content was being supplied from Europe to Latin America for their local packaging and now the supply chains are moving into Latin America. So our job in this case is to make sure that we don't lose businesses as they move across the ocean. And that we continue to qualify ourselves as the right partner for our customers. But no, we are not seeing any change outside the United States on that front.
Operator: And our next question comes from Laurence Alexander of Jefferies.
Laurence Alexander: There's been a flurry of announcements of new reshoring capacity in the U.S. around appliances and durable goods. Can you give us a sense for how much visibility that might give you for demand in the back half of '26, '27, like when you think that will start to have an impact? And secondly, can you give a characterization of what you're seeing in terms of competitive intensity in both the color side and the engineered materials from regional players or emerging market players. I mean are they -- is the competitive intensity intensifying given the weak demand environment?
Ashish Khandpur: Yes. So maybe I'll take the second one first. And from a competitive perspective, yes, I mean, there is, as you know, quite a bit of overcapacity, especially on the color side of business. And especially if you think about it from Chinese competition in different parts of the world. And that has been always there. Our strategy has been always focused on rather than just providing a commodity, providing a solution working with the customer all the way from the design stage of the product to then helping them pick the right thing and then qualifying it for them. So it's not just selling a commodity to them. It is working with them all the way from inception to finally, the product is launched and then serving them globally with great quality and service on time. And I think that's what our customers pay us for that's where our positioning is. We don't chase commodity business, which is where most of this competition is coming in. Having said that, competition is getting aggressive and we have to deal with that, and we are dealing with that. Our teams are doing a good job. As you probably saw, Laurence, our price/mix is still positive, and we are still expanding margins on the color side of our business as well. So -- and we have done that 3 quarters in a row. So Q1, Q2, Q3 there has been margin expansion in that business. So the teams are doing a great job passing on the price and still not losing to competition because of the value that we bring to the customer. With respect to competition on the SEM side, I would say that the fact that our businesses are growing there, and the only reason SEM didn't do as well as we thought it would do in Q3 was because of this energy dynamics that we highlighted. There is pretty much I mean, the competition is there, but there is no direct competition to some of the new innovations that we have launched out of our personal protection business in Dyneema lines. And that's a true differentiator, and we feel that because of that, we can keep winning share and be relevant in the market for times to come. So our innovation is kicking in on the SEM side, and we are beginning to differentiate our product lines, and that's how we are dealing with competition there. Now with respect to the appliance question, sorry, I'm going a little long here. We do work with the global appliance makers all across the globe. And as supply chains shift from 1 region to another, it's hard for us to say whether it's going to create additional volume for us because for all -- pretty much all big appliance makers, we are already spec'd in. And so for us, in that case, the option would be to more make sure that we don't lose that business as it moves. So that's all I can share at this point, Laurence.
Operator: And our last question comes from David Begleiter of Deutsche Bank.
David Begleiter: Ashish, looking at 2026, can you discuss what's in your control such as productivity and what headwinds you might face from either wage inflation or other costs impacting you?
Ashish Khandpur: Yes. I mean it's a similar story like this year with flat sales and growth, we still drove EPS growth of -- if you look at our range, it's 3% to 8%. So I mean I think that's a great example of what this team can do under stressed conditions. And I think we will obviously make sure that we are if the demand doesn't come, as I said earlier, I think we still believe that on the SEM side of our business, there is enough growth there to drive some growth on the top line, and that will help us bring more on the bottom line. So that's one thing we can influence, commercialize our innovation quickly and to scale on that side of the business because the demand is there. And in certain markets, how much can we supply will also depict how well we do. So that's something that we influence and our teams are working on that side. On the other side of our business, where the demands are not great we are driving productivity and structure reduction and also footprint optimization. And we have done that this year, and we'll continue to do that going into the next year. Either way, I mean that just has to happen anyways. And if demand really falls off the cliff, then we have another plan to go deeper into that playbook.
David Begleiter: And just lastly, as you move through Q4, are you seeing or expecting to see below normal seasonality?
Ashish Khandpur: We've just seen 1 month of Q4, and it has really come actually a tad bit better than what we had thought, but it's too early to say because in our business, things can shift around quickly. But October clicked pretty okay based on what -- where we were expecting it, and as I said, a tad bit better. So I don't see -- I think that the comps are favorable for us, and that's going to help us. So year-over-year, it's going to be a better situation, but also seasonality in certain areas, kicks in Latin America, I mentioned earlier, but not a whole lot change, I think comps and then just executing in the current environment. And we are winning some share in packaging in the United States, as I said earlier so that would help. But no, nothing unusual.
Operator: This concludes the question-and-answer session and also our conference call. Thank you for participating, and you may now disconnect.